Operator: Good morning, and welcome to PACCAR's Fourth Quarter 2021 Earnings Conference Call. All lines will be in a listen-only mode until the question-and-answer session. Today’s call is being recorded. And if anyone has any objection, they should disconnect at this time. I would now like to introduce Mr. Ken Hastings, PACCAR's Director of Investor Relations. Mr. Hastings, please go ahead.
Ken Hastings: Good morning. We would like to welcome those listening by phone and those on the webcast. My name is Ken Hastings, PACCAR's Director of Investor Relations. And joining me this morning are Preston Feight, Chief Executive Officer; Harrie Schippers, President and Chief Financial Officer; and Michael Barkley, Senior Vice President and Controller. As with prior conference calls, we ask that any members of the press on the line participate in a listen-only mode. Certain information presented today will be forward-looking and involve risks and uncertainties, including general economic and competitive conditions that may affect expected results. For additional information, please see our SEC filings and Investor Relations page of paccar.com. I would now like to introduce Preston Feight.
Preston Feight: Hi, good morning. Harrie Schippers, Michael Barkley and I will update you on a very good fourth quarter and full year 2021 results as well as other business highlights. First, I really appreciate our outstanding PACCAR employees. They deliver the highest quality trucks and transportation solutions to our customers and focus on the safety and health of each other. They are truly an impressive team. In 2021, PACCAR achieved annual revenues of $23.5 billion and very good net income of $1.85 billion. PACCAR's financial performance benefited from record results in our Parts and Financial Services divisions. PACCAR achieved 83 consecutive years of net income and has paid a dividend every year since 1941. In 2021, PACCAR occurred dividends of $2.84 a share. PACCAR's fourth quarter revenues were $6.7 billion, and fourth quarter net income increased from the prior year by 26% to $511 million. PACCAR Parts achieved record fourth quarter revenues of $1.3 billion and record pre-tax profits of $306 million, which was a 38% increase compared to the same period last year. PACCAR delivered 47,600 trucks during the fourth quarter, 45% higher than the third quarter. This included delivering 7,000 trucks that were awaiting components. In the first quarter of 2022, deliveries are forecast to be in the range of 41,000 to 45,000, a number that is limited by the global supply of semiconductors. In 2021, US and Canadian Class 8 truck retail sales were 250,000 units. In 2022, the US economy and industrial production are projected to expand by about 4%. The 2022 US and Canadian Class 8 truck market deliveries are forecast to increase to a range of 250,000 to 290,000 vehicles as the global supply chain gradually improves throughout the year. European above 16-tonne truck registrations were 278,000 units in 2021. In 2022, the European economies are projected to continue growing, and we expect the above 16-tonne truck registrations to be in a range of 260,000 to 300,000 trucks. In 2021, the South American above 16-tonne truck industry registrations were 127,000, and in 2022, the South American market is expected to be in the range of 125,000 to 135,000. The growing global economies, robust freight activity and strong customer demand for DAF, Peterbilt and Kenworth trucks has resulted in a substantial order backlog in all markets. Truck and parts gross margins were 11.4% in the fourth quarter, reflecting higher labor and materials costs associated with the completion of off-line trucks and the resulting increased mix of trucks versus parts. We estimate first quarter truck and parts gross margins to increase and be in the range of 13% to 13.5% as we ramp up production of our new products and realize production efficiencies. In 2021, PACCAR introduced exciting, new heavy and medium-duty Kenworth, Peterbilt and DAF trucks, which are proving to be very successful in the market. PACCAR also delivered many important technology and innovation milestones such as a strategic partnership to develop and sell autonomous trucks, production of zero-emissions vehicles, and we launched PACCAR's proprietary global connected service offerings. The new DAF lineup launched in 2021 earned the prestigious International Truck of the Year Award and the innovative DAF XF hydrogen internal combustion technology vehicle on the Truck Innovation Award. Kenworth and Peterbilt each - Kenworth and Peterbilt earned five manufacturing leadership awards from the National Association of Manufacturers and DAF Brazil was awarded the Truck Brand of the Year for the fourth time. Last year, PACCAR was again recognized as a global leader in environmental practices by the reporting firm, CDP. PACCAR achieved an Elite A rating, which places the company in the top 200 of over 13,000 reporting companies. In 2021, PACCAR was recognized as a top place for women to work by the women and trucking organization for the fourth consecutive year. The truck market is strong and demand is high for PACCAR's excellent new trucks and transportation solutions. We look forward to 2022 being a very good year. Harrie Schippers will now provide an update on PACCAR Parts, PACCAR Financial Services and other business highlights. Harrie?
Harrie Schippers: Thank you, Preston. In 2021, PACCAR Parts had new quarterly and annual records for revenues and profits. Annual revenues were $4.9 billion, and annual pretax profit increased by 38% to $1.1 billion. This is an outstanding performance by the Global Parts team, and it really highlights the fact that PACCAR Parts is a high-margin growth business. PACCAR Parts has expanded its global network to 18 distribution centers and we'll open another facility in Louisville, Kentucky later this year. We estimate parts sales to grow by over 10% in the first quarter of this year compared to the same quarter last year, as we continue to see strong demand for parts worldwide and especially for our outstanding e-commerce business. PACCAR Financial Services fourth quarter pretax finance income increased to a record $135 million. Annual revenues grew to $1.7 billion in 2021. And annual pretax income increased to $438 million, nearly double the profit earned in 2020. Portfolio assets were $15.4 billion. The portfolio continues to perform well with very low pass juice and low credit losses. PACCAR Financial benefited from strong used truck pricing in 2021. PACCAR Financial increased the sales volume in its retail used truck centers, which has contributed to higher used truck price realization. PACCAR Financial has 12 used truck facilities worldwide, and in 2022, we'll open another used truck center in Madrid, Spain. We expect PACCAR Financials' strong performance to continue this year. In 2021, invested $512 million in capital projects and $324 million in R&D as we launched the largest number of new truck models in our history. In 2022, we're planning capital investments in the range of $425 million to $475 million. And R&D expenses will increase and be in the range of $350 million to $400 million as we accelerate our investments in clean combustion, zero emissions, autonomy and connected vehicle programs. PACCAR's independent, Kenworth, Peterbilt and DAF dealers continue to invest in their businesses to provide our customers the highest level of service in the industry. These investments make a significant contribution to PACCAR's long-term success and support the growth of PACCAR Part's and PACCAR Financial Services. PACCAR had an year in 2021 and we're enthusiastic about the future. Thank you. We'd be pleased to answer your questions.
Operator: [Operator Instructions] Your first question will come from Chad Dillard with Bernstein.
Chad Dillard: So I was wondering if you could talk about just your gross margins and the quarter which seemed a bit white just given the revenue that you did? And just how should we think about the breakdown between the absorption versus price/cost mix? And then as we kind of think through the evolution from 1Q, like what's the trajectory from here for the year?
Preston Feight: Sure. Happy to do that. So if you think about the fourth quarter, our teams did a fantastic job of identifying the chips they needed through engineering efforts through finding broker parts or partnering with our suppliers to come up with what they need to deliver the offline trucks. And so they did deliver the higher volume of trucks. Those trucks have been absorbed in the third quarter. And so just a huge shout out to everybody that was part of that effort. I would say, looking forward, we see improvement in production steadiness. It's not completely solved, but our team has done a good job of creating a more steady production outlook for us. And so we're getting the production efficiencies associated and hence, we show you 13% to 13.5% in Q1. And then I guess I'd add to that and say that if we see that the market continues to gradually improve, we should see improvement from there.
Chad Dillard: Got it. That's super helpful. And then can you talk about your backlog market share versus retail sales market share? Are you seeing any gains from new product intros or anything like that?
Preston Feight: If I think what's happening with our backlog right now is the new trucks we launched in 2021 are just ramping up and especially in Europe, which was launched in kind of the October time frame and customers in North America for the new medium-duty level, for the new Kenworth and Peterbilt, are just enjoying the benefits of the 7% improvement in fuel economy. In Europe, up to 10% improvement in fuel economy and the fact that the new European truck, the XF, XG, XG+, those are the only trucks in the market that meet the new mass and dimensions regulations. So we have a great advantage there for those trucks, and they're performing really well. That's leading to a strong backlog for us. So we have about six months plus of backlog, and that's kind of measured by what we can build. So as we get more parts and availability, we'll probably be able to take some additional orders and build more, but really strong backlog right now.
Operator: Your next question will come from Jamie Cook with Credit Suisse.
Jamie Cook: Just digging in first on - I know you talked about margins for the first quarter and for the year. Axing out benefits from the new products? How do we think about sort of what your assumptions are for price cost for the year, given some of the list increases out there? Do we think we can be neutral? I guess that's my first question.
Preston Feight: Yes, we do. I mean we've gotten a little bit more stability than we had last year. And so I think we expect to have price/cost realization as we go through the year.
Jamie Cook: Okay. That's helpful. And then I guess my second question, just your sort of view on the cycle with the supply chain potentially easing. How are you thinking about sort of 2023 and what it could mean with the 2024 carbon-emission standards? Do you think the production forecasts out there are correct? And how are you thinking about the incremental cost on the truck? Thank you.
Preston Feight: I think the first thing to start with is our customers are doing really well. There's a lot of freight to be hauled out in the market. That doesn't seem like that's a short-term thing. That's a long-term demand thing. So I would expect that to continue, obviously, subject to any interruptions. But if that continues well, then I would expect 2022, 2023, beyond should be good. I mean if you think about 2024, while it's an emissions change, that emission change brings fuel economy, which should be good for our customers as well. So I think we're in the beginning of a good study, strong market.
Operator: Your next question is from Stephen Volkmann with Jefferies.
Stephen Volkmann: I want to ask Jamie's question just slightly differently. I know given the backlogs that you guys have - and everyone across the industry, I guess I might have thought that price cost could be positive this year, given the demand drivers, would you disagree with that? Or is there some other offset?
Preston Feight: No, I completely agree with you. I think the price cost should be positive for the year.
Stephen Volkmann: Got it. Okay. Maybe I misunderstood that answer. And can you also update us maybe a little bit, Preston, you mentioned the big new product or maybe Harry did the big new product rollout that you guys have this year. And I know you guys always sort of target margin expansion when you do these big model changeovers. And so I guess, as you're rolling through that process, any updates on how you're thinking about the impact that, that new model rollout will have on margins?
Harrie Schippers: The new DAF, Steve has been extremely well received in the market by customers, dealers that press everybody, the fuel economy improvement, the right and drive of the vehicle, the performance, the technology. And I think Preston said it, it's the first and only truck in the market right now that makes use of those new masses and dimensions regulations in Europe. So it really puts up in a class of its own. And it's a premium bar. So yes, that's going to be very good for our market share growth, margin, everything. And customers benefit from it most.
Operator: Your next question will come from Tami Zakaria with JPMorgan.
Tami Zakaria: Thanks for taking my questions. I have a couple of quick ones. So the first question I have is, what's your outlook for the parts business after a record year? I know you're guiding to 10% growth in the first quarter. But beyond that, is the current fleet age conducive to the Parts business as you look through the next few quarters?
Preston Feight: That's great question, Tami. I'd say that indeed we said 10% year-over-year and strong in the first quarter like it was in the fourth quarter. And we see that the structure being used out there which as they get used means they consume parts. So that's one thing that bodes well for the year 2022. And I would also point to the fact that our team - our global team has done a great job of launching things like e-commerce and bringing that to our customer which makes it easier to - for them to buy from PACCAR than anyone else. And that contributes to the long-term success and growth of the business. So we expect 2022 to be great parts here.
Tami Zakaria: Got it. Thank you so much. Another quick one. I think you noted about 10,000 red tag - parked trucks end of last quarter. Any updates on that front as you exited the fourth quarter?
Preston Feight: Sure, Tami. We in the fourth quarter were able to deliver about 7,000 offline trucks because of the great work of the teams and so that number has been reduced dramatically. And it's one of the reasons we think that production is getting a little more stable is because we had good supply and good partnership work going on.
Operator: Your next question will come from David Raso with Evercore.
David Raso: You noted in the press release the supply chain improvement, but then on your comments, you're a little more cautious about the supply chain improving. Can you just square up - tell me you didn't raise your unit forecasts at all for 2022 from three months ago. So should we take it as you were able to ship a bit better in the fourth quarter, but there has not been an improvement in supply chain just trying to square that up and then I have a quick follow-up on the backlog? 
Preston Feight: Sure. Let's do that first. If I think about it supply chain has improved compared to what we experienced in 3Q and 4Q is definitely improved, but improved is different than being fully resolved. And so I think we're sitting in between improved and resolved, David just kind of give you some boxes for that. So I would…
David Raso: Okay. So no change the forecast though, but that improvement hasn't been baked into any updating forecasts is out there…
Preston Feight: Look at it, I think that we have a 250,000 to 290,000 unit range at the - tie-side of the range. 290 is a pretty significant improvement above the 250 market in 2021. And I think that as we watch the year progress, we'll get better clarity for how supply base continues. And as it continues to improve we'll make adjustments appropriately.
David Raso: And then on the backlog how it relates to price costs in a full year gross margin comments, how much of the backlog already has the pricing locked in and your cost structure generally locked in on what we control of course? And then how much is still out there, say for the second half of the year on your cost? Where maybe you know you can get some help on some of the cost relief maybe we're seeing in some of the materials. Just trying to think that through what's in the backlog and what's sort of, you know, left open a little bit for later in the year to see how the gross margins play out.
Preston Feight: Yes, I think of it a little bit like there are some of the trucks that have - some of the bigger customers have their backlog price and out there and then some of the stock units and smaller fleets maybe don't. And it kind of depends, right? So it's a mixed bag and every truck order stands on its own. It obviously, the further out you go, get out of a quarter or two, it becomes less of it is certain. And so that gives us more flexibility as we move out a quarter or two, but I think in general, we see this improvement come sequentially through the quarters.
David Raso: Well, just to clarify, I'll hop off. We know from - in the channel, like not all orders have a price yet with it. But it was interesting you commented on flexibility left in price for some orders, but how much of your cost have you locked in yet, meaning steel and things you can kind of look out and maybe lock in a bit for most of the year? Thank you.
Preston Feight: Sure. We do that. Yes, we do that, David. We have long-term contracts with our suppliers in many cases. We hedge in many cases. And so together, that gives us some control over of our cost structure for materials.
Ken Hastings: Operator, do we have a caller?
Operator: Hello. Steven, your line is…
Ken Hastings: Is that Steve Fisher from UBS.
Steve Fisher: Okay. Sorry.
Operator: UBS. Please proceed.
Steve Fisher: Sorry, my line cut out there. So, it sounds like you still have a few thousand red tags. Does your 41,000 to 45,000 delivery number assume you get through all those in the quarter? And then once you do get through those, what’s the underlying or sort of normalized margin once you're just sort of producing and delivering at the same pace?
Preston Feight: We've had a variety of chip supplies have come in and out. And so I'm hesitant to give you an absolute answer on what Q1 will be in terms of number of off-line units that might still remain. We see improvement through the quarter. But it's every day the team is working together with supply base to work through that. So some portion may remain as off-line, but it's decreasing. And then I would say, as far as underlying assumptions, we feel good about the margins looking forward into the year and seeing them grow into our a higher range.
Steve Fisher: Okay. And then there were some big industry cancellations in the fourth quarter. Can you just talk about your experience with cancellations and how scrubbed your backlog is? I'm wondering whether those cancellations were more proactive or sort of reactive.
Preston Feight: Yes. From a customer standpoint, we have not had customers who don't want their trucks. That is not something that we've experienced. I can't speak to anybody else, but I can tell you that all the customers I talk to and the teams are working with see just a strong demand for as many trucks as we can get them.
Operator: Your next question will come from Robert Wertheimer with Melius Research.
Robert Wertheimer: So obviously, delivering trucks that were nonstandard production, just waiting on the components is an expensive thing. I'm pretty sure your 1Q gross margin guide indicates this, but will you kind of already there in 4Q on cost, if you sort of take those trucks out, you're up to a pretty healthy gross margin already? Or is there a bunch you have to do to get the 1Q goal if you see what I mean?
Preston Feight: Yes. I would say that if you think about the cost of the delivery and the things we had to incur in labor and materials for those 4Q units, that was - that's a big portion of the difference. And then obviously, that as we look forward, and we've had a chance to react to last year's cost increases, we've been able to price that in more and more effectively and that’s how you see the trend developing.
Robert Wertheimer: Perfect, all right. That's pretty clear, I guess. And then the other - or one of the other uncertainties overlaying the market is just Omicron and sick outs, and hopefully, it's obviously less severe, but people might be out. So do you have a sense on whether that's disruptive to 1Q at this point and whether it's cresting or not on your own work absences?
Preston Feight: Sure. I can comment to that and say that if I look at the plans around PACCAR facilities, the people are doing such a fantastic job. I mean, probably should park on that for a little bit for just what a tremendous job that people are doing in terms of getting to work and getting the trucks built and delivered. And I've just couldn't be more pleased with people all around PACCAR. So we see that having some limited effects on us in the immediacy right now, but moderating as time passes. And then of course, with this latest two-year period, who knows what three months from now might bring.
Operator: Your next question will come from Jerry Revich with Goldman Sachs.
Jerry Revich: Can we talk about the factory overhead call that you folks have been reporting with, obviously, all of the supply chain goodness going on over the past couple of quarters that's been running in the $70 million to $100 million range per quarter. How did that trend in the fourth quarter and really nice to see that improvement in the first quarter guide. How much of an overhang does the range, let's say, at the midpoint, anticipate from that $70 million to $100 million run rate that we've been at continuing into the first quarter.
Preston Feight: Thanks, Jerry. We'll let Michael answer that one for you.
Michael Barkley: I would just say that our factory overhead costs were increased partly due to get those trucks out that we've been talking about and also due to higher volume. We see them more normalizing as the year progresses into 2022.
Jerry Revich: And Michael, can you comment on the first quarter? Or does that embed something like $30 million, $40 million headwind? Is that ballpark? Or can you just help us with how much of an overhang is baked into that first quarter guide?
Michael Barkley: I can't comment on that specificity.
Jerry Revich: Okay. And separately, I'm wondering if you could talk about, as you folks are getting electric vehicle orders, what’s the add-on that you’re seeing - and I would refer to your dealers next, next you folks have opportunities to participate on the charging infrastructures and other add-ons that obviously you wouldn't get with diesel truck orders, is there a per ticket item that you can talk about or a take rate from any participation you have in contributing to building out the charging infrastructure with the trucks on those initial orders you booked so far over the past year?
Preston Feight: Yes. Its early days, but I think it's an interesting thing to think about in terms of the zero-emissions vehicle programs, battery electric trucks. We've now got - we built over 100 units. We've taken orders for over 100 vehicle chargers, battery electric chargers at this point as well. So that's kind of an add-on incremental business opportunity for us. And then when you get into that, as you match a charger in a vehicle, the opportunity to software for charging optimization and battery energy management of the vehicle is something that PACCAR has expertise in, and that will benefit our customers. So that's an add-on opportunity as well. So as that market begins to develop zero-emission market begins to develop, those should be good opportunities for PACCAR.
Operator: Your next question will come from Ross Gilardi from Bank of America.
Ross Gilardi: Preston, when you think about normalized North American Class 8 truck demand. I mean the number that's commonly thrown out forever is like 250,000 units, although obviously, it's rare that we actually see a year where it's - it's not materially above or below that number. And I'm just curious do you think that figure is still directionally accurate? Or do you think normalized demand for Class 8 vehicles is now much higher than what you would have thought of a few years ago, just due to the continued explosion of e-commerce and just a variety of other factors?
Preston Feight: Ross, I think you paused it out a good question, and I think that, that 250,000 might be a bit dated. It's hard to know what the number is, but the trucking delivered 72% of the business around freight demand, and that's not decreasing, that's increasing. E-commerce contributes to that speed of delivery that people are looking forward to contribute to that. The efficiency of trucks has grown so much, especially our PACCAR trucks where the fuel efficiencies are so much higher. And so, I think that you're on to something there that it could be a little bit higher than that.
Ross Gilardi: Okay. Interesting. And then can you talk a little bit about that the hydrogen ICE vehicle that you've got that you recently received an award on? And what kind of reception is hydrogen internal combustion engine getting from regulators on that engine type is a true zero-emission solution. And how does it - how do you think it stacks up on the vehicle performance versus hydrogen fuel cell vehicle?
Preston Feight: Well, what we're trying to do is PACCAR makes sure that we pay attention to all the different opportunities out there. And then we'll let the market - we like the market to decide which is the right ones. Right now, we have great success with our battery electric vehicles, obviously a leader in the hydrogen fuel cell area. And the team over at DAF led this hydrogen combustion engine development program, which we won the Innovation Truck award for. And so that has nearly zero CO2 output. It's really just some trace CO2 from the lube oil stuff. And I think we want that out there as an opportunity so that we can work with the governments and see what's going to be acceptable and what's going to provide our customers the right benefits. We think it's early days and preselecting the right answer is not necessary. So we'll just continue to leverage our strong partnerships, our technologies and bring the right solutions to our customers.
Operator: Your next question will come from Nicole DeBlase with Deutsche Bank.
Nicole DeBlase: Maybe just a question on Europe. So what are you guys seeing there from an order perspective? I'm just kind of surprised that it looks like you're forecasting deliveries more flattish in 2022, especially since you've talked about improvement in supply chain.
Harrie Schippers: So the order situation in Europe has been very strong and much in line with what Preston just commented on the US and the rest of the world for PACCAR. I think a market between 260,000 and 300,000 again, is a pretty wide range. And it shows that there is still quite some uncertainty with maybe COVID-related stuff, chip situation. But whatever the market does with our new trucks, the new DAF truck models, we're in a very good position to grow market share in wherever the market size will be, so that bode well self-production and DAF volumes.
Nicole DeBlase: Okay. Got it. Understood. And then just a follow-up on dealer inventory. So I suspect that they're probably still very low, but just wanted to get an update there and if you guys see the potential for some restocking to help volumes as we move into the second half of the year.
Preston Feight: I'd say inventories are lower than we'd wish them ideally to be, but that's obviously a result of the supply-based situations, and that does give us a strong confidence that we'll be able to build every truck that we can get the parts for this year, which should create a really good year. So we'll see inventory react as we can build enough trucks.
Operator: Your next question will come from Courtney Yakavonis with Morgan Stanley.
Courtney Yakavonis: Maybe if we can just go back to the question on Europe, and I think that was where you saw the biggest sequential step-up in deliveries this quarter. So, is it the right way to understand that was where most of those red tag trucks were? And how should we be thinking about the remaining couple of thousand? Are those in Europe? Are those in North America? And then, if you could also just comment on the FinCo. I think you had very strong margins this quarter. Harry commented on the higher used pricing. But how should we think about that business going forward? If there's any guide reals you can give us aside from just continued strength?
Preston Feight: Sure. Courtney, how about I start off on the European deliveries and then Harrie can pick up and add anything he wants to and talk about the FinCo. There were three things I would think, weigh into the different sequential in deliveries. And one of them is seasonality. One of them is build rate increases that we've had. And then the other is really probably tied to the off-line reduction that we had. So those three things kind of changed the $10,000 to the 18,000. And Harrie, anything you'd add on that?
Harrie Schippers: I think the off-line truck reduction was proportional. Is similar than the other brands. And the seasonality is a big impact if you compare the third to the fourth quarter. The third quarter has typically the summer shutdown with fewer production days in the third quarter. And those things combined explain the increases together with an increased build rate and that's always nice to see. And for the finance company, yes, great results in the fourth quarter. We've seen the used truck market improved by a lot. PACCAR Financial has expanded its used truck center and sales capability over the years. And this is really a year that starts to pay dividends. And looking into next year, I would say the outlook for the next couple of quarters is really good, and we expect PACCAR Financials’ strong performance to continue.
Operator: Your next question will come from Matt Elkott with Cowen.
Matt Elkott: So as you guys continue to tackle supply chain issues this year, is part of the solution using more engines from your suppliers as opposed to in-house, so you can focus on other parts of the supply chain?
Preston Feight: That's not quite how it really works, Matt. We have - each chip is funny. - each chip kind of goes to a component, and you can't really know how that's going to shake out. They're not the same chips each place. So the teams have done a really good job, say, again, figuring out how to reengineer in different chips to be used in our engines and combines the same as a good partner. And we've also been able to kind of go back and track similar types of chips and find ways to use them. So I think that's independent of the engine, independent of the component really. It's just a great team effort by Ronan PACCAR and our suppliers, and we would expect to see the MX share in North America go up significantly in 2022.
Matt Elkott: Got it. And just one more question on the outlook for the Class 8 build next year. We had the disruptions pushing out some deliveries this year and last year. And then there could be a potential prebuy in 2023. So could 2023 be materially up from this year? Or do you guys not think there will be a meaningful prebuy ahead of 2024?
Preston Feight: I think there's a lot of variables between now and the end of 2023. And I think in general, it feels like the market is going to be really good this year and it seems likely it will be very good next year as well.
Operator: Your next question will come from Jeff Kauffman with Vertical Research.
Jeff Kauffman: Thank you very much. I wanted to ask a question on production rates. When we were down in the third quarter, approximately what was the trucks per day production that you were seeing across the network? And then where are we exiting the fourth quarter? And where do you believe that number could go by the middle of 2022?
Preston Feight: I would ask - I would answer it this, we don't really provide our build rates. So I'd just simply say is that we have seen build rate increases through the fourth quarter into now, and we would anticipate being able to or hoping to take additional build rate increases as we can get the components we need to build the trucks.
Jeff Kauffman: Okay. But is there any metric is about where you are now versus where you were during the peak of the crisis and chips and parts and things like that? Just to get an idea how much production scaled up.
Harrie Schippers: We were 45% higher than the third quarter. So quite a step up. If that answers your question?
Preston Feight: Yes, what Harry is saying. I think right now maybe of a 10% to 20% increase from what we've had in production deliveries and the continuing growth in that area is what it feels like.
Operator: There are no other questions in the queue at this time. Are there any additional remarks from the company?
Preston Feight: We'd like to thank everyone for joining the call, and thank you, operator.
Operator: Ladies and gentlemen, this concludes PACCAR's earnings call. Thank you for participating. You may now disconnect.